Operator: Good morning, my name is Carina and I will be your conference operator today. At this time, I would like to welcome everyone to the Agnico Eagle's First Quarter Results 2019 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Sean Boyd, you may begin your conference.
Sean Boyd: Thank you, operator and good morning everyone, and welcome to our first quarter 2019 conference call. We're going to be going through some forward-looking statements today so please be forewarned. Just to sort of step back and look at 2019, as we've said we expect record production at 1.75 million ounces at cash costs and the midpoint of the range of $645 and all in sustaining costs at the midpoint of the range of $900. After the first quarter, we're tracking extremely well towards that target and we'll be revisiting those numbers in our second quarter update in late July as we move through the commissioning of both Meliadine and Amaruq. So the other thing that I think we've been focused on this year is just simply the execution of those two projects because what that does in the second half of the year it drives a significant bump in production in earnings per share and also in cash flow per share. From the quarterly perspective, we produced almost 400,000 ounces of which about 18,000 ounces came from Meliadine in the precommercial stage report our first part Meliadine in the third quarter of -- in third week of February. Our cash costs in the quarter were very good. We'll talk about some of the components of that at 623, all-in sustaining cost at $836. At Meliadine, as we mentioned, we're very close to commercial production. We'll expect commercial production in May. At Amaruq, we would expect commercial production in the third quarter of this year. So everything is tracking well. Both projects are ahead of the original schedule and we would expect both projects to come in slightly below the total budget for both projects which was U.S. $1.23 billion. We also had some exploration results in our press release. We continue to get good results that Amaruq in the underground. We've got some interesting new results at Santa Gertrudis -- what looks like a higher-grade structure in an area of past mining a small pit, and at Kirkland Lake at Upper Beaver we're extending the mineralization there. So these are three projects that we've talked about providing an update as we move through the balance of this year and the update we'll continue to obviously de-exploration but also we'll give you a project update on potential development scenarios for those projects as we move through the balance of this year. Looking at the specific properties and the contribution to production of almost 400,000 ounces. If we look at the Abitibi and look at LaRonde, Goldex and Canadian Malartic we produced a combined a little over 200,000 ounces. The weighted average cash cost of those mines for the quarter was $544 an ounce. So we're getting good performance and good cash generation coming out of our operations in the Abitibi. Also had good production at Kittila almost 50,000 ounces we continue to produce good quantities of gold at Meadowbank as we continue to mine in Portage, so that's extended a little bit longer than we had expected and we talked about the 18,000 ounces roughly coming out of Meliadine in precommercial production. In Mexico, our combined cash costs for those operations below $600 so those mines continue to generate good cash flow. So if you think about roughly 400,000 ounces of production the quarter that's roughly what we've been averaging per quarter for the last several years plus or minus. But as we move into the second half of the of this year and into 2021, we expect to produce 2 million ounces and then go beyond 2 million ounces post 2020 we'll have quarters of 500000 ounces plus which is really the inflection point that we've been talking about in terms of both earnings per share and cash flow per share. Just going to the earnings and cashflow for the quarter normalize was $0.14 cents. So good quarter from an earnings perspective. Operating cashflow is $0.63 but as we said as we go into the second half, we would expect to see improvements in both of those financial metrics. The balance sheet we closed the quarter with about $200 million in cash, good position as we move forward given the financial flexibility that we'll have moving into the second half as we ramp up production. We'll talk a little bit about the assets. Talking about LaRonde produced 77000 ounces in the first quarter. We’re expect to see higher grades in the second half of this year. That's just simply due to mining sequence in the mine we'll have about a 10-day maintenance shut down in May of this year. We'll be offsetting some of that with material from the LZ 5 Zone next storage. LZ 5 continues to generate good cash, but I think the importance of that particular operation is the testing of the automated equipment. So good cash flow good return on investment there but also allowing us to test our automated mining equipment and communication system. Canadian Malartic over 80000 ounces. Work on the Barnat extension is going according to plan. We would expect to begin production in late 2019 on Barnat. So no change to that schedule. We have a very active exploration program ongoing at Canadian Malartic focused largely on underground opportunities and zones there, but it's still early there still a lot more work to do. Nothing has been approved in terms of additional capital to move forward there. But all we can really say at this point is there's active exploration going on there. We continue to add to our land package there. We continue to fill in the blanks and open spaces on that belt and the partnership just picked up the Rand Malartic property which is immediately to the east of the Canadian Malartic ground and there is potential for the zones to continue onto that ground. At Goldex, a record production since the restart at 2000 -- restart in 2013. Seeing some high grade coming out of the South Zone which is not unexpected. That is a higher-grade area, although small. We'll see continued tonnage coming out of the South Zone for the balance of this year. The Akasaba project is still on hold. It's a quality project, but in terms of capital allocation it's one that we've just put on hold for the moment and we would expect at some point to give it the go ahead, given that it meets our investments hurdle rate, and we can leverage off of the existing skills that we have at Goldex. At Meadowbank, 44,000 ounces, so as we said, we're winding down at the deposits in and around the Meadowbank processing facilities. But I think it's important just to stop and reflect on how effective the transition has been in Nunavut from the Meadowbank deposits to the Amaruq satellite deposit. If we roll it back 2 or 3 years ago, there was an expectation that we would possibly be faced with a 12 to 18 months gap in production. And at the time, all we could say was just allow our people to work through the issues and the opportunities and come up with a plan that narrowed that production gap and also allowed for a seamless transition from the Meadowbank deposits to the new Amaruq deposits, and they've done an exceptional job, because that's had a very positive impact on the workforce, because there was no negative impact of having people without a job for a period of time. So very good work from that team and right now we've been transitioning both people and equipment to the Amaruq facility and we've also completed all the mill upgrade work at Meadowbank for the Amaruq material. So Amaruq is well advanced in terms of dewatering and mining and the truck fleet. We're still working on permits for the Whale Tail and the V Zone expansion. We would expect to get those in late 2020. There's nothing special about those permits compared to the permits we've already been issued to start a Whale Tail. So we don't see any issue with that. And I think it will be -- we're still very much focused on the underground opportunity at Amaruq and how we can potentially bring that into production at the same time as we're mining the pits, because that could have a significant impact on the production profile for two or three years where they're potentially operating at the same time. So we'll have an update as we move through the balance of this year on our thoughts around the Amaruq underground opportunity. At Meliadine, we've talked about it. It's going well in terms of commissioning. We poured our first bar, as we said in the third quarter of February. We're getting good recoveries. We're ramping up the mining rate. There is no showstoppers there. We're confident on our guidance this year. We continue to get good exploration results there, demonstrating that the deposit continues at depths with good grades and decent thicknesses. So I think also looking at that decision back in early 2017 to invest $900 million. That was the right decision, timing was right. We had slowed the project down in 2016. We got better prepared, and as a result, that project is ahead of schedule as we said, and below budget. So good decision. And I think that decision -- deposit -- how positive that is really reflected in the fact that, although the economic study was done on 14 years of mine life, we have an extensive resource. And we see with the latest drilling that the deposit is likely going to continue to grow. At Kittila, we talked about solid production quarter at 49,000 ounces. We will have a scheduled shutdown to realign the autoclave in this quarter, so that's done every 4 to 5 years, so that was in our plan. So it doesn't impact our guidance at all. And we continue to push forward on the mill expansion and the shaft projects. In the Southern Business, as we said at the start, very good performance from a cost per ounce standpoint, and from a cash generating standpoint. So they continue to operate effectively, generate good, solid cash flow, while they work on satellite deposits such as Sinter and Cubiro and Reyna de Plata, effectively just leveraging off of infrastructure and skills in the region to maximize our investment there. Creston Mascota also good cost performance and good production in the quarter. And at La India, we continue to focus on expanding the heap leach and ore stacking which is going well and we're drilling the El Realito satellite zone, which we would expect to extend the mine life at La India. From an exploration standpoint, before I open up for questions, I just wanted to highlight Santa Gertrudis. We bought that in December -- before December of 2017. And we've gotten some nice high-grade intersections on an area that had some past small open pit mining on it. Interesting opportunity, because we feel if we extend the drill holes -- some of the earlier drill holes did not extend enough to capture what we see as a potential new zone. So already almost a 1 million ounces. So we would expect that to continue to grow. And that's the type of tailor-made project for our skillset in Mexico. Right region, Sonora, we know how to operate there. We operate there with La India. So as we said earlier, we'll be providing an update on that project as we move through this year. So, operator, I'd like to open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Fahad Tariq with Credit Suisse.
Fahad Tariq: For Meliadine, you mentioned that the mill throughput for the second quarter will be 3,000 tonnes per day. Curious what was the average in April so far? And the -- you mentioned that the plant has gone up to 3,700 on several occasions. Is that the right way to think about, maybe the potential run rate or close to that for the second half of the year? Thanks.
Yvon Sylvestre: Yes, I think we're targeting about 30 to 50 for the rest of the year roughly. And the plant has been averaging close to 3,000 tonnes per day and it has operated at the higher throughput that you quoted.
Fahad Tariq: Okay, great. And then just switching gears for a second, more on capital allocation. As a free cash flow profile gets better in the second half the year and certainly in 2020, how do you think about higher dividend, debt repayment coming due in 2020 and maybe keeping dry powder for potential asset acquisitions from the other large -- large M&A divestitures. Maybe some color on the way you're thinking about that strategy.
Sean Boyd: Yes, I think it's a balance. It will clearly be given the track record of paying a dividend for 36 years. We'll certainly be looking to increase the dividends. The dividend, in fact, in total dollars has gone up in each of the last 5 years. So that was done during a period when gold was relatively flat at $1,200 and we were in the biggest capital program in our history, so that -- we've clearly indicated that that's important. And as we also said, we're working on some key projects in terms of development opportunities, in Kirkland Lake, at Upper Beaver, Santa Gertrudis, the Amaruq underground. So certainly there'll be capital at some point allocated there, and that capital will be allocated at a time when we start to wind down the capital in Finland with the shaft and mill expansion. So, I think, those are timed fairly well. Debt repayment is also a focus. We have a maturity next year. So, certainly, we'd like to improve our financial flexibility. So we're looking at all those three options. And as we said, we're in that sweet spot in terms of capital coming down dramatically from the average of the last 2 years when production is rising significantly in the second half of the year. So good position at the end.
Fahad Tariq: Thank you.
Operator: Your next question is from Stephen Walker with RBC Capital Markets. Please go ahead.
Stephen Walker: Thank you, operator. Good morning. Just -- Yvon, just a follow up question on Meliadine. When we were there last fall and had a look at the plant, given the excess capacity that's been built into the back end of that plant, there was talk at the time that with a modest investment, you could get the plant up to 4,500, maybe 5,000 tonnes a day plus. Where are you in the planning process as far as the further optimization? And do you have a sense of the capital number that might be required to get it up to these higher levels?
Yvon Sylvestre: Well, at this stage we're entering our next life of mine planning phase. And before we complete the -- our commercial production decision, that specific tonnage number we'd like to be in a position to be to be testing. So we will probably test the total capacity of the plant in the next two weeks. And we will evaluate as we continue to ramp up the underground mine and potentially advance some small bits, try to see what's the best scenario, advance the expansion with the with the bits as originally planned. Or simply invest in just stripping and accelerated development underground to maximize the current capacity of the plant. So these are scenarios we're going to be evaluating over the next few months.
Stephen Walker: Just to follow up on Meliadine as well. On --in the testing that you're doing so far with respect to the grinding and residency time in that part of the plant and then the leaching times and the recoveries that you're seeing. Is there anything in the metallurgy or the grain size that is different from the original test that suggests that recoveries could be improved or there could be challenges with respect to recoveries or ore throughput?
Yvon Sylvestre: No not at this stage. The frontend and the backend of the plant had actually responded very their strongly. No surprise in that area. We've had some -- we had to adjust in the -- on this ionization circuit introduced slight nitrate in the circuit. But so far our recoveries are unplanned and there's no concerns about grains or other elements at this stage.
Stephen Walker: And if I might on the Whale Tail ore that you're getting into now. Yvon, is there anything visible in the metallurgy that wasn't picked up in the drilling? Is there anything in the way of additional minerals or types or grain size that that that wasn't picked up in the original test work? And then secondly, presumably you're going to start batching that through the Meadowbank plant. When will that occur? And if it has occurred already, how is the batch recoveries being or how was the reactivity of that ore through that plant at this stage?
Yvon Sylvestre: Well, we've commissioned the -- we're in the process of commissioning the gravimetric addition to the Meadowbank plant, so that's ongoing now. And it's exclusively on Meadowbank ore and recoveries actually gone up. We will probably processing some wealthier ore quite later and in Q2, because we're sort of progressing with the ramp up there. And as far as the questions on mineralogy, no surprise at this stage. I think the only area that we've been pleasantly surprised is that the block model on surface has responded quite well and the grade -- in grades, in fact, these grades have been little bit better in some areas. So that's the encouraging part.
Stephen Walker: Great. Thank you very much, Yvon.
Operator: Your next question is from the line of John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Congratulations on all the progress little bit.
Sean Boyd: Thank you.
John Tumazos: One of the other companies are selling things, I was kind of wondering how you might react if you're looking at considering acquiring a property what rate of return would you require? Or second, would you simply not evaluate the things, because why distract yourself from your good projects to look at someone else's losers? Or how much should they pay you to look them, I don't know.
Sean Boyd: Yes. That's a good question. I think that we -- let's have a laugh for a minute. So we see the press release, Newmont Goldcorp, and several of us are in the office are quite early, before 6:30. And we had people running around saying, "Oh, there could be some things coming out of here". And I think the message was everybody just got to relax, have a cup of coffee and calm down. We've been doing this for a long, long time and there's no bargains out there. We've never been a company that sort of bought things as fixer uppers, because that doesn't really pay, and it's hard to get a return. The things we tend to pay attention to are those things that we've assessed have geological potential. So we've built this company on assessing geological opportunity and then proving that theory very patiently through consistent drilling and mine building, so that's the framework that we sort of used to determine whether we spend any time on things. So we do have a group that looks at things. But I would say the things we're looking at are more sort of smallish development opportunities in regions and belts rather than buying production to say we're a bigger producer. And if you look at the M&A dance that's going on for the last sort of 6 months or so or 9 months and even going back to 2014 with Barrick and Newmont. If you look at the top 5 market cap companies -- and we were sort of sitting at number 4 with Goldcorp following to number 5, Newcrest at 3 and then Barrick and Newmont. Every one of those other 4 companies had talked to each other in some form or another. At Agnico, we typically just minding our business and focused on sort of executing, and none of it, bringing these projects online, because we could see the inflection point coming in EPS and cash flow per share. And our audience is very much a generalist investor audience and we spent a lot of time focused on that market and that market sort of wants discipline. So that's sort of going on here. I'm getting ready for the AGM. It's at 11 o'clock this morning. So I'm sort of getting pumped up. But I think that the answer is we're going to continue to sort of be disciplined and move forward in a way that drives cash flow per share for our shareholders.
John Tumazos: Thank you.
Operator: Your next question is from the line of Mike Parkin with National Bank Financial. Please go ahead.
Mike Parkin: Guys just a quick question. What the Kittila Q2 shutdown that you mentioned there earlier on the call, how many weeks will that roughly be and should we expect -- what should we kind of expect for sustaining CapEx for the quarter?
Yvon Sylvestre: Well, the shutdown will -- is presently scheduled for 60 days. As far as the CapEx on the quarter, we'll have to get back to you on that number. I don't have that number specifically at this stage.
Mike Parkin: Okay. No, I appreciate that. Congrats on the quarter and all the best with Nunavut. Thanks.
Operator: Your next question is with Anita Soni with CIBC. Please go ahead.
Anita Soni: My question, a little bit more on some of the grades. Let's start with Goldex. It outperformed on grade this quarter versus your guidance, I think substantially. I think it was 1.77 versus about 1.57. Do you expect that to sort of average out over the course of the year? Or is that just a bonus for Q1 and move on with the rest of 1.57?
Yvon Sylvestre: I think the -- as they continue to accelerate the -- get maturity on the Rail-Veyor system we've -- on this quarter, we've had a larger proportion of work from Deep 1 sectors, which have contributed the portion of that. We're also mining about a stope per month from the higher-grade South Zone, so all of these factors are sort of contributing. And South Zone this tendency will continue for the rest of the year. And I think we should continue to see pretty regular grade profile for the next little while at Goldex.
Anita Soni: Okay. That sounds great. And then on Malartic a similar question, I think the guidance was about 1.16 and you start at 1.18. And as I recall, as you get down to the bottom of the pit, the grades continue to get better. Is that, again, something that we should expect to have better grades than what was probably anticipated at the beginning of the year?
Yvon Sylvestre: Well, quarter-over-quarter we'll have slight variance, but the grades in certain periods tend to go up. But at this stage, it will meet -- you will meet the guidance for the end of the year. And as we get into Barnat late in '19 and early 2020, it will be additional grade improvements.
Anita Soni: Additional grade improvements, but does this start out higher grade at start, because you were sort of higher up in the pit it's going to start out a little bit lower and then progress as go down.
Yvon Sylvestre: Sorry, I didn't hear the question, Anita.
Anita Soni: With the Barnat startup is that immediately higher grade than what you're -- than what the average is for the year or what you would see at the bottom of the pit at Canadian Malartic or is that start off with a slightly lower grades?
Yvon Sylvestre: Well, it will start probably at average grade and build up to what the grade in Barnat is. I think the average grade there is about 1.2 or so.
Anita Soni: And then the last question is with regards to LaRonde, on the byproducts. It seems like some of the recoveries for lead and zinc, I think in particular, maybe even copper -- sorry, not copper -- and silver were, I guess, a lot better than expected. Is that something that you expect to continue or was that just something you're not willing to predict at this point?
Yvon Sylvestre: Well, we've had quite a bit of variability on some of our base metal streams as some of zinc is cyclical, depending on the mining sequence. Copper has been quite steady. But, overall, the performance and the finalization circuit have been pretty strong both on the gold and silver side. So I think what you see now should be close to what you should see going forward. But it's highly grade dependent.
Anita Soni: Okay. All right. Thank you very much.
Operator: Your next question is with Carey MacRury with Canaccord Genuity. Please go ahead.
Carey MacRury: Hi, good morning. Just a question on Upper Canada -- Upper Beaver. You've talked about evaluating different scenarios there. I'm just wondering if you can provide a little more color on what specifically you're looking at there at the stage?
Sean Boyd: Well, actually, we're mostly focusing on upgrading the -- our resources model, fine-tuning the resources for year-end, adding some more interest. I mean, in the meantime, as you mentioned, we're looking at what could be done at both Upper Beaver and Upper Canada. And recently we've been paying attention to the near surface portion of Upper Beaver where we see potentially an opportunity to end scenario at Upper Beaver. And we'll get a better grasp about potential scenario as 2019 goes by and we should be in a better position by year-end to provide more color on that.
Carey MacRury: Thank you.
Operator: Your next question is with Ralph Profiti with Eight Capital. Please go ahead.
RalphProfiti: Thanks, operator. Thanks for taking my question. I don't want to jump again on Kirkland. But you are seeing these deeper intercepts down to 400 meters and in this recent drill hole then you're seeing mineralization down even further. Can I assume that the work that you're doing includes both open pit and underground options? And then what's the plan for the copper at Kirkland? Is it significant enough that you'd potentially want to monetize that as a credit?
Sean Boyd: Well, to answer maybe the first part of your question, we were at first, obviously, investigating how much we can grow that resources and we know that it's always nice to have confidence that we can continue to grow. So we've been testing both the deep extension that have been successful, demonstrating that keeps on going for another 400 meter of depth. But in the meantime, we know that closer to surface through a ramp potentially that we could track the near surface portion of the deposit. But we're not that point in time for Upper Beaver. It is very unlikely that we'll do anything from an open pit. And for Upper Canada, we don't know enough about it yet to figure out what is the best development scenario for Upper Canada.
Ralph Profiti: Right, got it. Okay. And maybe just to follow up. I'd like to just talk a little bit about opportunities to control costs in Nunavut. Can you talk maybe a little bit about the lessons that you've learned? And as you potentially try to manage costs there, are there opportunities in the area of, say, power or logistics that you're going to continue to look at? Where there are opportunities?
Yvon Sylvestre: Well, I think on the power side, there is several ideas that are underway to look at adding cleaner energy and wind turbines. The rest is -- I think, we -- lot of discussions with the government on infrastructure that would be quite helpful down the road in trying to reduce the overall logistic reality of dealing in Nunavut. But at this stage, we're -- we'll be more focused over the next year and a half on trying to get the plant up to -- plants and the mine up to speed, but also focus more on productivity to keep the cost structure down. I think that's -- that'll be mostly our -- mostly our focus.
Ralph Profiti: Yes, got it. Okay. Thanks for that. Very helpful.
Operator: Your next question is with Steven Butler with GMP Securities. Please go ahead.
Steven Butler: Thank you, operator. Guys, just coming back to Amaruq, where you had this slightly higher grades reported in the Whale Tail from pit initial ores. I guess, obviously, it's still very early days. So -- but maybe you can make a -- do you have a, say, general comment on how slightly higher grade it is percentage wise, if you can share that? And if you're considering to any changes to your top cut factors or it's obviously, still early days?
Yvon Sylvestre: Yes. Since it's certainly early days, Steve, I'll get back to you on that part in Q3, Q4.
Steven Butler: Okay. And then the ore sorting, you talked about ore sorting at Pinos Altos and Sinter. Obviously, again, it's still at preliminary stages there. But can you comment on what you're seeing in the Sinter results? And where do you see ore sorting going next in terms of pilot studies at the other assets?
Jean Robitaille: Hi, Steve, Jean speaking. We have a process presently and this is a pilot plant and we have -- it's following the result that we are obtaining to exactly in line with what we were expecting, but it's really early stage. So eventually, throughout the organization or on the other side, we have some plan and we have to do the demonstration at -- of those first. But it's encouraging up to now, but it's really early stage.
Steven Butler: Okay. Better head on the questioning there on two fronts. Thanks guys.
Operator: And your last question comes from Tanya Jakusconek with Scotiabank. Please go ahead.
TanyaJakusconek: Hi, everybody. And congratulations on the good quarter. A lot of my questions have been answered. I just wanted to come back to Yvon and maybe Dave Smith on Amaruq and Meliadine. Just on the commercial production, let's start with Amaruq. Yvon, how are you going to define that? It appears that you are already going to be putting some ore and have been putting ore through the Meadowbank mill. So could we potentially have production in Q2? I know, Sean mentioned production and commercial production in Q3. So I'm just kind of wondering the definition of commercial and whether we have ore -- pre-commercial production in Q2? Sorry I can’t hear you.
Yvon Sylvestre: Sorry, the microphone was closed. The definition of commercial production in this case will mainly be on profitability and the commissioning of the plant were already been done on the Meadowbank ore. So I think once we've processed about 30 days of Amaruq ore we'll probably be in a position to declare commercial production there.
Tanya Jakusconek: So sorry -- again, you're breaking up, is it like 30 days -- is that what I heard?
Yvon Sylvestre: Yes, roughly. Yes. 
Tanya Jakusconek: Because I think your pre-commercial production guidance for Amaruq was 40,000 ounces. And I think that implies about 1.5 to 2 months. Is that about correct?
Yvon Sylvestre: Correct, yes. But we might be processing some ore in June as well, so -- we'll in Q2, so we'll thread that reality going forward.
Tanya Jakusconek: Okay. So that one might be a bit conservative then. And just on the Meliadine, I think there was 60,000 of pre-commercial production there. If you look like you're going commercial in May that would imply more 30,000 to 40,000 ounces of pre-commercial. Is that about right?
Yvon Sylvestre: It could be, yes. But I think at this stage, we're probably targeting a little bit higher than that and you'll find out over the next several weeks, I guess.
Tanya Jakusconek: Also a good news though. Okay. Thank you so much.
Sean Boyd: Yes. Just as a follow up on that, Tanya. Ultimately, if it -- is it 60,000 credited on Meliadine or 40,000 credited on Amaruq, it's too early to say. We're certainly getting closer on Meliadine. So that impacts where we land in terms of capital on the projects. But I think we're comfortable enough to say, if we're early, and we don't have the credits of 60,000 against Meliadine and 40,000 against Amaruq, because we've come to the commercial production earlier, we should still be in a position where the total -- and in Nunavut collectively for both projects is slightly under budget. So we're just working through a lot of those parameters as we commission both operations. 
Tanya Jakusconek: Absolutely. And also you would be closer to actually having free cash flow.
Sean Boyd: Yes.
Tanya Jakusconek: Okay. Thank you so much.
Operator: [Operator Instructions] We have no further audio questions at this time. I now turn the call back over to you, Mr. Boyd.
Sean Boyd: Thank you, operator and thanks, everyone for the good questions. And hope to see some of you at our Annual Meeting this morning at 11 o'clock. Thanks again.
Operator: This concludes today's call. You may now disconnect.